Operator: Good morning. My name is Carnesia, and I will be your conference operator today. At this time I would like to welcome everyone to the Q4 2013 earnings call for IDEX Corporation. [Operator Instructions] Thank you. Mr. Yates, you may begin.
Michael John Yates: Thank you, Carnesia. This is Mike Yates, Vice President and Chief Accounting Officer for IDEX Corporation, and I want to thank you for joining us for a discussion of the IDEX fourth quarter and full year financial highlights. Last night, we issued a press release outlining our company's financial and operating performance for the 3- and 12-month periods ending December 31, 2013. The press release, along with the presentation slides to be used during today's webcast, can be accessed on our company's website at www.idexcorp.com. Joining me today from IDEX management are Andy Silvernail, our Chairman and CEO; and Heath Mitts, our Vice President and Chief Financial Officer. The format for our call today is as follows: we will begin with Andy providing a summary of the fourth quarter and full year 2013 financial results. He will then walk you through the operating performance within each of our segments. And finally, we will wrap up with our outlook for the first quarter and full year 2014. Following our prepared remarks, we'll then open the call for your questions. If you should need to exit the call for any reason, you may access a complete replay, beginning approximately 2 hours after the call concludes, by dialing the toll-free number (855) 859-2056 and entering conference ID 30410743 or you may simply log on to our company's homepage for the webcast replay. As we begin, a brief reminder: This call may contain certain forward-looking statements that are subject to the Safe Harbor language in today's press release and in IDEX's filings with the Securities and Exchange Commission. With that, I'll now turn the call over to our Chairman and Chief Executive Officer, Andy Silvernail. Andy?
Andrew K. Silvernail: Thanks, Mike, and good morning, everybody. I appreciate you joining us here for our fourth quarter and full year wrap up. And before I get into the discussion on the details of 2014 or outlook for 2014 and the Q1 recap, I just want to talk a little bit about an overview of our performance, the execution of our strategy, a couple of comments on capital deployment and our view of our markets across the globe. If you look at our strategy and our execution, a year ago we outlined for 2013 that we thought we were going to be faced with pretty slow markets, unevenness across the globe and some challenges. And we got pretty much what we expected in terms of the overall end-market outlook. We were committed to make our own luck and I feel like we really did that. We drove productivity aggressively and we reinvested in our core markets, our core customers and new products across the globe. And the results, I think, showed. Our team delivered 2013. We had record sales, earnings and cash flow. And as we start to enter 2014, we have a pretty solid backlog across the segments. I would say that market conditions are marginally better. I think in the fall, people got a little bit ahead of themselves with the overall conditions in the global markets, but I would say that they are better than they were a year ago. We have a very strong set of businesses that have terrific positioning. And we have a team that's proven its ability to really navigate in whatever environment we're faced with they can really deliver results. As I look at the highlights for 2013, we had a strong growth in orders especially in the back half of the year, operating margins were up 110 basis points year-over-year and free cash flow was 148% of net income, which is really outstanding. At the same time we made significant investments, that we outlined coming into the last year, where we took $30 million out of our cost base in 2012 to reinvest for growth, and we did just that. And the results have started to show. We had improving order trends in the back half the year. We have solid backlog heading into 2014. Again, we've expanded margins, cash flow and our return on capital is something that we have spent a lot of time internally trying to drive and we've seen really nice improvement here this year and, really, over the last couple of years. We're also delivering improvements in some of the businesses that had been underperforming in the past, specifically Water services, our Fire business and Optics. They all had really solid years in terms of improving profitability driving execution and starting to invest in the future. So as I look ahead at 2014, I'd say there are improving organic growth trends, even though we're still going to have what I think is an uneven environment. We expect 2014 to be modestly better than 2013. But there are clouds that are still on the horizon, so we're going to be cautious about how we tackle these things and where we make investments. We're not going to ignore the reality of what's happening in certain places around the world. And we're going to really be -- we're really going to continue to be disciplined in our strategy and the execution of our strategy. So the bottom line is, we're going to continue to make our own luck. Let me take a few second and talk about what we're seeing across the globe. North America, demand continues to be positive overall, but I think we need to keep a pretty tight grip on the end markets. The industrial markets, specifically in North America, have been strong for a number of years. We're certainly starting to see improvement in some of the science and technology markets versus last year. But it's important not to get ahead of ourselves. Europe has clearly stabilized but from a pretty low base. And I think it's going be modestly better in 2014 versus 2013. China, we're a long-term investor in this market, but I think -- and '14 is going to be better than '13, but there's still a lot of volatility in China and we expect that to be, frankly, forever, and we're making long-term investments in that region and we're going to continue to do so. Emerging markets have been a very good story for us for a long time and they continue to be and we expect them to be for the long term. Again, we anticipated a low growth environment in 2013. 2014 I think will be a little bit better, and we're really making the investments to accelerate growth. Again, I talked about the productivity that we've gained to reinvest in growth last year. We put money into new products, into product management. We've expanded our footprint in Asia specifically and in the Middle East. Our sealing business, we've put investments in selling and in the new manufacturing facility in Houston. And I think we're going to see more results from these investments as we go into this year. Overall, an important piece to the value creation story for us is just capital deployment, where we're fortunate to have a great balance sheet and terrific cash flow. And so a differentiator for us is certainly how we use that cash. And as I look at this year, we're in a great position to continue to fund fully our organic growth and drive profitability and performance in that manner. At the same time, we're going to grab those other levers. And as we think about our investments that we've made we've returned $240 million to shareholders in share repurchases in dividends, a record in 2013. We've made one acquisition in 2013. Frankly, we would have done -- liked to have done more and that's something we spent an awful lot of time working that funnel. The valuation environment generally is still a challenging environment, especially for larger properties. But there are absolutely deals to be done in the range and in the markets that we look at, and I think 2014 has the potential to see a few things break our way. All right, with that let me turn to the fourth quarter detail. I'm on Slide 5. So for the year, we had revenue of $2 billion. It was up 4%, up 2% organically, pretty much in line with our expectations. Really good news as we built about $48 million of backlog and orders were up 7% versus the prior year. Again, we had operating margins that expanded 110 basis points, that's up to 19.5%. Excellent performance on productivity, improved share and mix. So I think really nice performance across the board in driving profitability. Results are really highlighted by truly outstanding performance in Fluid & Metering, up 250 basis points. And Health & Science, which is up 150 basis points. And I'll go through some more detail in a moment on both of those. For the full year, EPS came in at $3.09. That was a 15% increase from our adjusted 2012 numbers. We improved working capital by $31 million and this really accounted for the great cash conversion. We produced $379 million of free cash flow. Again that was 148% of net income. As you look at Q4, earnings were $0.82. It was at the high end -- above the high end of our range. It was up 19% from prior year. Sales were up 5% and orders were up 8%, and they're up 7% organically, as I mentioned. These are really solid results and I think they give us decent momentum as we go into the first quarter here. As we look to the future, we made some really targeted investments yet again, specifically in the fourth quarter. In the fourth quarter, we took $6 million of cost. We took hit to our P&L in the fourth quarter, $6 million of cost, to improve our overall cost structure. And as always, we expect those productivity investments to pay off, both in terms of profitability, more importantly in terms of investing for growth. It's really about getting ahead and we're going to continue to make those investments. As we digest that into our P&L, we also did have something that offset that, which was an investment for -- rather a return of $4 million from Matcon, which really those 2 things offset each other largely. So in summary, I'm proud of 2013. We've built a strong foundation for success, and I think we're in a good position to deliver on 2014. All right. Let's move over to the segment discussions. I'm on Slide 6 and as always, we'll start with Fluid & Metering. Bottom line, Brett Finley and his team had a great year and they deserve accolades for what they got done this year, very strong performance. Orders were up 3% organically; sales were up 4% organically; operating margins, as I mentioned, were up 250 basis points; and they're in a really nice position as we go forward into 2014. If you look at the different platforms, energy had a very, very good year. They had strong core markets, they had share gains in developed markets and really good mobile expansion. A big piece of that story has been expanding across the globe and they've done a very nice job there. In our Chemical, Food & Process business, solid improvements in orders, sales and operating margins. Really outstanding performance in terms of improvement coming from our Richter brand in terms of growth across the globe, and certainly our Viking brands as we continue to win our core markets and make investments for growth there. If you look at our Ag business, the Banjo brand, they had another good year. They're capturing share, they're introducing new products and they're capitalizing on OEM demand. Order patterns remains strong in the fourth quarter and we have pretty good visibility here through the first half the year. That said, we're very, very well aware of what's been happening in that market and as we get through this year, we'll revisit that. But so far, we're still seeing some strength here coming out of Banjo. If you put our Water business, the municipal service markets, they've improved modestly. Our win rate has been faster, certainly, than the markets so we've seen some decent pickup there. The team has been very successful at capturing share. And the demand has really been driven by some big projects in the U.S. and in Japan that we've won. And I really give credit to the team there for focusing their commercial strategies and the new product strategies on some poor markets that we think are most attractive in terms of growth and profitability and executing against that. The industrial part of Water, which really focuses on dosing pumps, saw modest growth this year. And frankly, we were very focused on improving the overall operating capability of that business. We saw very, very nice improvement in profitability there. And I think they're going to have modest growth in 2014, and we think they're well positioned for success going forward. All right. Let's move to Slide 7 and we'll talk about Health & Science. Overall, for the year, solid order growth, 3%, and very good backlog going into 2014. Margins were up 150 basis points to 19.1%. Importantly in the quarter, we saw order growth of 10% year-over-year. Margins were actually up 180 basis points if you consider the $3 million of cost that we incurred in the P&L to drive productivity. So it doesn't read as attractive as that in the stated numbers, but the underlying number is certainly better, and I think we're, again, we're well-positioned here as we go into the year. If you look at our Scientific Fluidics business, this was a winner for us all year. And John Arnott and the team there, they delivered order and sales growth in every quarter of the year, even when the markets were softer, we looked at the first part of the year. The team has gained share and they've exceeded market growth, really through excellent customer focus and new product introductions. So nice job there with the team. We're seeing, really, markets pick up modestly in the U.S. We're starting to see some relief in some of the government funding issues. A little bit better end-market spending and Asia continues to be relatively strong for us. In Optics & Photonics, as we talked about, really, throughout the year, we finally anniversary-ed the business that we walked away from in 2012, and we saw some pick up here in orders in the fourth quarter. We expect top line stability continue in 2014. The markets are stabilizing and we have been seeing some improvement in Semiconductor and in life science. And obviously, we're realizing the benefits of the cost-out actions now as we saw sequential margin improvement. So we expect to see continued improvement here through 2014 in the Optics & Photonics business. And the team there has done what we said that they would do and they're starting to really positioned themselves nicely. Our specialty seals business had a strong fourth quarter and full year. The outlook there is positive. We're making some significant investments in that business and in growth in the U.S. and in Asia. And we think that the Houston facility comes online in at the end of this year or start of next year, we're going to be in a nice position to grow that business. So finally, within Health & Science. Our Material Process business is a long-cycle business and that's a little bit unusual within the IDEX portfolio. But they've had 4 consecutive quarters now of orders and sales growth, and pretty solid prospects and profit improvement in 2014. All right. I'm on our final segment, diversified, Slide 8. Overall, orders finished the year strong. It was up 10% year-over-year. Organic sales were only up 1% and obviously that's a difference in a few large orders that we talked about in the past, and obviously we'll get into some detail here. Organic -- excuse me, operating margins, they decreased 80 basis points for the year and this decline is really due to the fact that the replenishment order that we got in 2012 didn't repeat in full in 2013 and, obviously, those are -- there's some pretty high contribution margins in that business. On the Dispensing side, orders continue to be distorted for the business. If you recall, last quarter we discussed the large order that we received. As we enter the year, obviously, we have a pretty strong backlog, and that order is going to ship throughout the first half the year. And the timing of that, we've got to really keep our hands on because, obviously, that's a large order and important to us. The team has done a terrific job globally in terms of customer service, innovation, geographic expansion and cost improvement. If you look at the Fire Suppression group, they closed out the year with 4 consecutive quarters again of order and sales growth. We made significant investments in 2012 and they've really come to fruition, especially in the energy markets with new products and market development that we focused on there. And again, nice job with the overall profit expansion. Our Rescue business, they had a soft fourth quarter, but it's been stable on a sequential basis. We saw, specifically in Asia, some real tightness in government spending in Asia in the back half of the year. And I suspect we're starting to see that improve a little bit. But that did hurt the overall order growth in that business in the back half the year. But a really nice job on profit improvement and all signs that, that capital is going to be released in 2014, and they'll have -- they'll be back to growth here. BAND-IT, another solid year in terms of sales growth and excellent profitability. And they closed out the year with pretty decent order growth in North America. And the investment that we made in our China footprint for BAND-IT got some real momentum in the back half of 2013 and will serve us well as we get into this year. All right. Let's talk about our 2014 guidance, I'm on Slide 9. I going to start at the top of the bridge and just walk through this like we do every year. We anticipate kind of low-mid-single-digit growth across the platforms. And this should give us kind of 20% to 30% -- $0.20 to $0.30 of EPS and that's the typical flow through that you expect from us. If you look at FX and a lower share count, those are each going to give us about $0.03 in the year, so they're going to be a tailwind or a good guide for the full year of 2014. We are going to have some headwind here on higher tax rate and it's going to cost us about $0.07 in the year. My guess is you've kind of been hearing this from a lot of different places, but there are a number of discrete items that happened and Heath and I can go into any detail people want of tax benefits that we got in 2013 that, frankly, just not going to recur. At least, we don't expect to recur. Productivity, I'm very, very happy with this. Productivity is a $0.09 positive for us as we look at this year. And I'm very happy with the overall job the teams did. We're fortunate to be in a low inflation environment and to be able to get ahead here and we're doing so. And this really allows us to continue to fund growth initiatives. So we're going to put about $0.04 a share over and above our normal investment rate, and continue to try to get ahead in the business. All right. I'm on the final slide here, Slide 10. So some guidance for Q1 and then the total guidance here for the full year. So in the first quarter, we expect earnings to be $0.83 to $0.85, operating margins will be right around 20% in the quarter. And so we think that we're in decent shape in that range. Obviously, we've got some strength from the Dispensing order that's going to help that and we expect to have a solid first quarter. So for the full year, we expect EPS to be $3.33 to $3.43. Organic growth, again, is going to be kind of 3% to 5% and we think operating margins are going to be about 20% for the full year. We had said in the past that we thought we have a quarter where we hit operating margins with a 2 in front of it, one time in 2014, very happy that we achieved that in the fourth quarter. And we think we have a legitimate shot of having 20% operating margins for all of 2014. As always, a few other modeling items just for you to consider. The tax rate's probably going to be 29% to 29.5%. Again, I talked about some of the headwinds there, including the R&D tax credit that, so far, has not been renewed. We've got a -- that onetime good guide [ph] this year from the U.K. tax benefit that flowed through our balance sheet in the P&L, that obviously, you're not going to get that onetime benefit. And in the Matcon, the $4 million in Matcon benefit that we got in the fourth quarter had some nice tax implications, and we're not going to see the benefits of that as we go forward. CapEx, we should be somewhere in the $40 million to $45 million range. We are certainly ramping organic investment and we expect see that come through in our CapEx. And we think free cash flow will be between 120% and 125% of net income. As always, this excludes the impact of acquisitions or charges associated with them and we'll deal with those as they come up. So to summarize, very proud of our 2013 results. I am -- I think our team did a really nice job. I'm proud of their focus and execution and dedication to our customers and what that turns into for our results for our shareholders. I still think we're going to have an uneven economy in 2014 and we're preparing for that. But as always, we're going to really control our own destiny. And we're going to focus on delivering for our customers, delivering for our shareholders and, frankly, delivering for our teammates. So with that, I'll pause. Operator, we can open up the line for any questions.
Operator: [Operator Instructions] Your first question is from Mike Halloran with Robert Baird.
Michael Halloran - Robert W. Baird & Co. Incorporated, Research Division: So just want to try to align the commentary about the choppy environment on a forward basis with what's clearly some momentum you're seeing internally on the order line. If I look at your commentary by product category or by division, it certainly sounds like momentum is building in the majority of your portfolio, maybe a little slower in some of the muni or government-exposed stuff like Rescue or the Water side. But maybe you could point out some of the areas you're a little bit more concerned in from a product category or a vertical within the core portfolio today as we look to '14?
Andrew K. Silvernail: Sure, Mike. What I think about my concerns, they're economic. Frankly, there are more bigger-picture concerns that are around geographies. And so as an example, I think there continues to be a lot of volatility in China. And we saw some nice pick up here. There were some issues in the back half the year. But I don't think anyone should underestimate that there is going to be volatility in that region on a really consistent basis as they work through a whole series of issues there. So that's kind of one thing as I think on -- from that basis, I still see some -- Asia is, just generally, is having some volatility. I would say in Europe, it's certainly better. And the headlines in the news, I think, are way out in front of reality. That's really improving off of a pretty slow base. And I'd say the U.S. is pretty stable. Just generally, Mike, as I said in my commentary, I think that the overall economy is in a better spot than it was a year ago. My view, however, is that, as we were going through the fall here, the general news cycle and commentary was ahead of reality. So with that said, I am pretty happy with how we're dealing with the environments that we have. And our focus on really, really been tightly focused on the whole series of customers in product areas where we think we have an advantage and we can drive differentiation. And so I do think we have from -- some momentum from that perspective. But I just think it's important that people don't get too far out in front their seats.
Michael Halloran - Robert W. Baird & Co. Incorporated, Research Division: Makes sense. And then on the cost-takeout actions, maybe you could talk a little bit about -- it seems like there's a little bit more than the continuous improvement paradigm you guys have, maybe a little bit more specificity around what the objective was? What the goal was? How that rolls through '14? And as we look to '14, any other insular actions like this you guys are thinking about taking?
Andrew K. Silvernail: Yes, this was a little bit bigger than we had thought. What I will say is vast majority of these happened in pretty expensive places. And so we typically expect payback on things like this to be kind of 2 years. That's the general payback on these kind of things. When they happen in places that are, I'll just call it easier to restructure, the payback's 18 months maybe sometimes 12 months. We did a lot of work in Europe. We closed a facility in Europe or we're closing a facility in Europe. We're in the process of that. And then we had a couple of places that I think were just arduous structures that we were able to take out some pretty high costs infrastructure. There are a lot of big chunks like this throughout the company to go but we are always looking at how you drive -- as you know, Mike, how do you drive productivity on a regular basis. But also, our teams are regularly challenged with thinking bigger on some of these things. And so if those things develop, we're going -- we'll eat it in our P&L but I think that's a good thing for shareholders.
Michael Halloran - Robert W. Baird & Co. Incorporated, Research Division: Last one for me, along those lines, when we think about the confidence now that you're going to be 20%-plus margins as we track through '14, what's changed in the thought process for you over the last couple months? Is it maybe a little bit more clarity on the demand side? Is it this restructuring actions that you've taken and the benefit that's going to roll through this year? Any other factors there?
Andrew K. Silvernail: We're kind in a little bit of a sweet spot when it comes to margin improvement. What I mean by that is when you're in an environment like this and it's relatively low growth and low inflation, you have control of your levers in a much more clear way. Right. So your productivity flows through, your price flows through better. We don't get a huge price but we get price, right? And we when you're in a low-inflation environment and you get productivity, that certainly helps a lot. What I would say is kind of different -- it's not so much different. We've been seeing this, really, for the last couple of years. But I think our organization consistently has gotten better and has maybe expanded their own assumptions about how profitable the business can be, and therefore how we act.
Operator: Your next question is from Matt McConnell with Citi Research.
Matthew W. McConnell - Citigroup Inc, Research Division: If I could just start with a question about the first quarter. Normal seasonality would imply that, that's the lowest for the year. And I know the big Dispensing project is going to have an impact. But if you saw the normal kind of step-up that you typically see through the year, it seems like even the high end of 2014 guidance wouldn't be too much of a stretch. So is there something else that's helping first quarter, that's skewing that seasonality a little bit closer to the front half of the year?
Andrew K. Silvernail: Well the Dispensing piece is big, right? You're talking about an order that is more than 1% of organic growth on a full year basis, right? That's going to flow through in the first half of the year. That's a big number for us. We also -- our Fire business, it also had a number of pretty good-sized orders that were kind of on the brink of between Q4 and Q1, and they went into Q1, and so they're pretty sizable also. If you back those out, I mean we'd still have, I think, strong overall earnings growth and a decent quarter, but those really do comprise the biggest pieces of that.
Matthew W. McConnell - Citigroup Inc, Research Division: Okay, got it. That helps. And then on the free cash flow, obviously a great performance in 2014. Is there room to take out another $30-so million of working capital? I'm trying to get a sense of the sustainability of that free cash conversion that you've been generating?
Andrew K. Silvernail: Matt, that number is really high, right? We -- in the kind of growth environment that we're going to be in, if -- we'll probably consume some working capital, right? As we look at this year, we'll probably -- on an absolute basis. I think we'll get better from a working capital conversion. So in terms of the percent of working capital that we carry, as a percent of sales. But given the growth that we expect to have in that 3% to 5% range organically, we'll probably actually -- we'll consume a little bit of cash there. Not unlike what I said to Mike on operating margins, this is an environment where it really is a good environment for driving cash conversion, right? When you're in a growing environment, obviously, you've got to feed the businesses more working capital. This is an environment that has really allowed us to get more efficient with working capital. And the teams did a very, very good job. Now just so everybody's aware, right? We will see a working capital bump up in the first quarter or maybe the second quarter because of what's going with these big orders, right? They've got it be built and they've got to be shipped. And so the timing of when those things happen, it could likely have some impact in what I'll call a onetime bubble on our working capital in the first or second quarter. So just so everyone is aware of that, you can kind of expect that and model that in. But I think that 120%, 125%, Matt, is more normal for us.
Operator: Your next question is from Nathan Jones with Stifel.
Richard Hall - Stifel, Nicolaus & Co., Inc., Research Division: It's actually Richard Hall on for Nathan. Just 2 questions for you. First, when we think about M&A, previously you've mentioned that prices were a little too high for those $100 million deals. And in your prepared remarks, you said, things are still challenging. There's -- but there's going to be some deals to be done maybe in 2014 might be nice. Could you talk about the dynamic? What do you think about pricing right now?
Andrew K. Silvernail: It really hasn't changed much from the last couple of quarters. What I would say is if you went back to last year, there was huge private equity deal flow that was floating around kind of second, early third quarter. That's really come down. And that has come down -- that volume has come out of the markets a little bit. What I would say, however, is that prices are still elevated. Really, it sets up just north of 100, 115 in enterprise value. You still see things that are consistently touching or exceeding double digits. And for a deal like that to make sense for us, I mean, you've got to be -- you've got to know exactly how you're going to get the value, right? There can be no question marks. As you look in the -- I'll call it the $25 million to $100 million range, our funnel is -- it looks similar to the what it's looked like over the last 9 months, maybe a little bit better. And I think that's really our own doing, not so much the markets. Don't take it that I'm signaling that's some going to drop imminently, right? We always have a few things that could drop and we're working through the negotiations and discussions on those things. But I think just generally, there are still some things to be done in the range where we think we can really drive some value. But it's not materially different. The environment is not materially different than what we talked about a quarter ago.
Richard Hall - Stifel, Nicolaus & Co., Inc., Research Division: Very helpful. And then finally, I guess definitely appreciate the commentary about the 2014, I guess, guidance. Could you maybe walk us through the segments, of your thinking on top line growth and kind of just operating profitability?
Andrew K. Silvernail: Couldn't hear you. Just across the businesses generally in each of the segments?
Richard Hall - Stifel, Nicolaus & Co., Inc., Research Division: Yes.
Andrew K. Silvernail: Okay, let me start with the most confusing one first. You've got Dispensing in there. That's obviously going to have a big disconnect, right, because you're going to see a big overall number in the first half on a sales basis. But that obviously has a negative view on -- in the back half of the year on an orders basis, right? Just because of the timing of those things and that really exacerbates what that looks like. What I would say then around FMT and HST is very much in line with the range that we gave you, both of them. I don't think -- as we're looking today and we built our operating plans, I don't see it being materially different in either one of those segments in terms of overall growth. So I think Dispensing from a sales perspective is going to be at the high end of that range because of the big order. And then I think FMT and HST will be a little bit lower than that just because you got kind of more systemic systematic growth that's happening there. So not a big difference between the segments outside of that one big order.
Operator: Your next question is from Allison Poliniak from Wells Fargo.
Allison Poliniak-Cusic - Wells Fargo Securities, LLC, Research Division: Andy, on the growth initiatives, could you help us, maybe -- I know it's going to be hard, I'm sure, business by business, but how are you allocating those dollars? Is it people, new product investments? Just a little bit more color on that?
Andrew K. Silvernail: It's really 2 big areas and actually, this is pretty consistent with what we did last year when we made some of the bigger reinvestments. It really is around the product and market development. And so it's people, and then to some degree, it's physical capacity. Now what I mean by physical capacity is, like as an example, we're putting more money into Houston to grow the sales office. We're building a second facility in India and we're building out our commercial operation there. We're expanding our capabilities in the Middle East. So what we're really doing, frankly, is we're kind of doubling down on some places where we're getting some nice momentum. We're -- the business for our Fire business that we're really seeing some nice growth from, frankly, they've created a whole another little business there, which is a trailer business that's servicing the energy markets for emergency. And so we're funding a team there to really build that out. So it's more kind of front-end sales marketing product development and then it tends to be regionally or very, very business centric.
Allison Poliniak-Cusic - Wells Fargo Securities, LLC, Research Division: Well, that's great. And then just going back to the acquisition. It sounds like, obviously, most people are still [ph] pretty challenged. But it sounds like from my perspective -- maybe I'm putting words in your mouth, Mark, you're more excited about the quality of -- property coming through at this point? Is that a good way to think about it?
Andrew K. Silvernail: I guess our game, when you look at our game, our game is almost always better when it's proprietary stuff that we've been working for long periods of time. You can always -- you can buy things out of the investment world and you can be successful with them. What I would say is that while our funnel in aggregate looks about the same as it looked even 6 or 9 months ago, there's more stuff that's kind of in our sweet spot that's kind of cultivated, long-term cultivated. So I guess if you're -- to make sure you're not reading into anything, don't read into that something is going happen immediately. At the same time, I would read into it that -- I would say, that the quality and the things that our IDEX like in terms of both businesses and in terms of how we -- where they come from is a little bit better.
Operator: Your next question is from Scott Graham with Jefferies.
R. Scott Graham - Jefferies LLC, Research Division: So the 2 questions I had were around the margins of the FMT and HST businesses. And I guess I'll start, maybe, with the harder one, HST. The gain is in there, right?
Andrew K. Silvernail: No, it's not.
R. Scott Graham - Jefferies LLC, Research Division: Where is the gain?
Andrew K. Silvernail: Go ahead.
Heath A. Mitts: Scott, this is Heath. The gain actually shows up in the -- in our corporate expenses. So it does not get allocated out to the segments. So it effectively nets against our corporate expenses in terms of the Matcon $4 million.
R. Scott Graham - Jefferies LLC, Research Division: Nice. Okay.
Heath A. Mitts: So HST, I guess if you want to look at it absorbs $3 million restructuring or cost out-related costs. So if that was not in there, it would be -- the margins for that would be around 20%.
R. Scott Graham - Jefferies LLC, Research Division: Yes, I can see that now. I didn't know where that was. That's excellent. But I think even more excellent was FMT. That margin like rocketed this quarter. Could you talk around some of the tenets of how that happened?
Andrew K. Silvernail: Yes, yes, once again, it's -- we've seen really good margin performance from the team at FMT for a while here. But there are a few things. First and foremost, we definitely had some benefits of mix in the quarter, not huge but we had some benefits of mix. We certainly -- FMT, we tend to get more price there than anywhere in the business and that certainly helped. But the biggest thing and the thing that's different than I think in the past is we're getting more traction and overall productivity in those businesses. And this isn't kind of big stuff; it's the daily stuff that you're working as a funnel, right? And you're working it all the time. We spend a lot of time looking at how we're driving consistent productivity across our businesses. And I would say that FMT, certainly as with regard to the back half of last year, that accelerated for them.
R. Scott Graham - Jefferies LLC, Research Division: Okay. And if you don't mind, I'd appreciate being able to tack on a question to your response, Andy. You've heard me ask this question before about the old way that IDEX kind of looked at productivity in the $20-plus million pockets and whatnot. I know you've kind of moved away from that, but are the parameters around that still generally the same? That global sourcing continues to take on maybe the lion's share of the productivity improvement? Or are there new things that you guys have kind of hashed within the organization, some type of value-stream mapping or that is additive to what the old model was?
Andrew K. Silvernail: A couple of things. First of all, the reason that we've gotten away from kind of talking about that bulk number is that, number one, the company has gotten a lot bigger since that's was, I guess, the conversation. And number two, if you just kind of think about it in a simple way, we've got inherent in our businesses about $25 million of inflation, all things being equal, that we see every year given the size that we are today. And that's from a combination of merit increases, and very, very modest material inflation, right? And that's how we think modest. So our starting point every year just to hold even is kind of $25-ish million, right? And so if you think about that, I mean, look at what we bridged this year, we're doing clearly better than that, right? And we certainly did better than that and we expect to do better than that in 2014. So that's kind of one part of the answer. The second part of the answer is, if you look at our cost base, materials are obviously the biggest piece -- biggest bulk piece of our cost. But if you think of our conversion cost -- what I mean by that is you look from material cost all the way down to operating profit, there's a lot of other costs there, whether it sits in manufacturing, it sits in or sits in our infrastructure, that we think we should drive productivity up. So there is definitely a change in mindset that productivity is something that is all the way up and down the P&L and not kind of just manufacturing. So that's the second part. The last thing I'd say is in terms of our methodology, we have had an IDEX operating model for an awful long time. And I think it's an effective model that we just continue to mature and we continue to deploy throughout the business and it really helps us drive results.
R. Scott Graham - Jefferies LLC, Research Division: So if I could just summarize, you've got bigger, so you're doing more of what you did and maybe more on top of that, and you're looking at this thing on a net of inflation basis?
Andrew K. Silvernail: Absolutely.
Operator: Your next question is from Kevin Maczka with BB&T Capital Markets.
Kevin R. Maczka - BB&T Capital Markets, Research Division: If I can kind of piggyback on the margin question. So the incrementals this quarter and this year were much stronger than normal. I think you normally target something in the mid-30s and we were much better than that. As we think about better organic growth in 2014, that might suggest incrementals getting even better, but you're offsetting with some growth spend. So can you guys talk about that? If we have better organic growth and we're getting price and more traction than ever on the productivity, is it the growth spend or something else that would keep us from maybe a repeat performance of such strong incremental?
Andrew K. Silvernail: Let me tackle part of this, then I may have Heath tackle a part of it also. Kevin, one of the things to realize is we had 2 things that really helped us in 2013 from a margin expansion perspective. Those things, those pieces of expansion that drove the incrementals are kind of unlikely to repeat. The first one was we were really aggressive in 2012 taking out cost, right? Just generally, we were really aggressive especially in the back half the year, and so we saw benefits of that throughout this year. Secondly we had a number of underperforming businesses. So I mentioned them in my formal remarks, Water services, our Fire business, our Optics business and actually even part of our Water business, right, the other piece, our industrial Water business, that were really underperforming, that we drove very, very meaningful profit expansion in those businesses to the point where they looked much more like the rest of IDEX, and it did not 24 months ago. So my point to that is, we're not going to get that twice. We don't have some of the same pieces of opportunity. And so what you're going to see from us is much more typical flow through on volume, which we've said that we think is worth $0.20 to $0.30. And the net $0.05 of productivity is going to be what we think is incremental in terms of our efforts. So Heath, what would you add to that?
Heath A. Mitts: No, I think I'd just stear you towards the guidance slide, Slide 9 in the guidance detail, which Andy just walked through. We're not talking about significant amount of reinvestment over and above our normal run rate, which is healthy for the business. But there are some select dollars we've quantified it as around $0.04 of headwind here but, certainly, that is not offsetting. If you look at this, we are still talking about a -- 2013's flow through was crazy high in the north of 50% because of the benefit of the cost actions that we took in 2012. However, even if you look at our 2014, we're still talking about guidance. And here, because of some additional restructuring that we did in late 2013, as well as productivity initiatives that more than offset inflation, the flow through, that's still 35% to 40%. So I don't feel that the 50% was sustainable. But certainly, if 3% to 5% organic revenue growth having flow through of 35%, and this might go up to 40%, is still...
Kevin R. Maczka - BB&T Capital Markets, Research Division: Yes, got it, got it. That's very helpful. And then just following up, the $6 million charge in the quarter, I just want to clarify. That's entirely a cost-takeout action or is that a new product -- is there some new product development and growth spend component to that? And did you say that's kind of all you're planning in terms of bigger items that you would call out at the moment or no?
Heath A. Mitts: That is correct. Now the $6 million is not -- it's specifically tied to, I'd say, restructuring-related type of activities, where we closed one small facility and there was numerous employee actions, so severance-related costs in that. So there was nothing I'd say tied to new product introductions. So these were through operational-footprint type of decisions. On an ongoing basis, we always have some kind of amount that we pay for, as we go through the P&L. This was just in the quarter a big enough number that we wanted to note that because it did have an impact on our reported results, although we are not calling that out separately as a line item in the P&L.
Andrew K. Silvernail: Yes, so net-net on this, the cost that we incurred to do this, obviously, isn't in our P&L, right? What we do is offset by the good guy coming back to the P&L on -- from Matcon. So net-net, those things kind of wash themselves out.
Operator: Your next question is from Matt Summerville with KeyBanc.
Matt J. Summerville - KeyBanc Capital Markets Inc., Research Division: Andy, can you talk about in the fourth quarter what your organic growth was by region between Americas, Europe or Asia, however you would like to talk about it? And then what your expectation is around that 3% to 5% rate by region for 2014?
Andrew K. Silvernail: Yes. So we don't kind of break out -- we don't ever give exact numbers on that. But what I will say is that international growth was actually stronger than the U.S. in the fourth quarter. Now part of that was, if you look in the U.S., we had a really, really -- we've had really strong growth consistently. The U.S. was stronger in HST and in Diversified. FMT was a little bit light in the fourth quarter in the U.S. Asia was pretty strong. We came off of a pretty weak comparison in the fourth quarter, in China in particular. So China was strong and then Europe was kind of in between the 2. Generally, as we're looking at the overall expectations for this year, I think the U.S. is probably going to see -- I'm going to talk about underlying markets. I think the U.S. is kind of in the 3 range, plus or minus, somewhere in that range. I think Europe is kind of 1 to 3, somewhere in there. And I think the emerging markets, or call it Asia, is probably in that kind of 5-ish range, plus or minus, with -- what you'll end up having is you'll have one country or sub region that's really strong, and something will be weak. So as an example, India was really strong for us this year until the fourth quarter. China was actually weaker. So I expect you'll see some puts and takes across the regions like that.
Matt J. Summerville - KeyBanc Capital Markets Inc., Research Division: And then in terms of pricing, can you describe what you're looking at for 2014, and then just hit on -- maybe provide a little bit more granularity around the organic order decline in FMT? If that's timing, just general lumpiness or something fundamentally different in some of the businesses?
Heath A. Mitts: Sure. Matt, this is Heath. The organic order decline for FMT was really -- if you go back and look, it was off of a very, very difficult comp. There was nothing really that we comped against some project orders that were booked in the fourth quarter of last year that we didn't have this year. So I wouldn't read into that in terms of the health of the backlog or health of what -- that's the outlook for FMT for 2014.
Andrew K. Silvernail: Yes, I'd also add to that, is that if you look at the third quarter, FMT was really strong. So if you look at the back half of the year for FMT, it was up 4 in -- year-over-year. And the other question was price, right, Matt?
Heath A. Mitts: Oh, I'm sorry, price. Sorry about that Matt.
Andrew K. Silvernail: Taking notes here. The price for 2013, just as a point of reference, came in on a gross basis -- gross so not including inflation, was, what, about 1.2%. And our expectation for 2014 is that it'll be similar.
Operator: Your next question is from Mark Douglass with Longbow Research.
Mark Douglass - Longbow Research LLC: With the geographies, can you let us know how 2013 ended? How the geographies split as far as percentage of sales?
Andrew K. Silvernail: In terms of actually how it broke out?
Mark Douglass - Longbow Research LLC: Yes.
Andrew K. Silvernail: You got that exact number?
Heath A. Mitts: No, we generally don't provide.
Andrew K. Silvernail: Yes, we don't usually give kind of exact numbers in there. If you look at what we historically guided there, it hasn't moved a ton, right? North America is right in the range of 50% of sales. Europe is going to be in the low- to mid-20% kind of 23% to 25%. China in total is around 10-ish and so -- and then the balance of Asia and the rest of the world is going to make up the other kind of 10%, 15%.
Heath A. Mitts: That's consistent with what we put in our release in the past. We don't disclose how that swings quarter-to-quarter.
Andrew K. Silvernail: But not a big shift in 2014 versus 2013 -- to 2013 versus 2012.
Mark Douglass - Longbow Research LLC: Okay, okay, no, that's helpful. And so China is reasonably decent sized but it...
Andrew K. Silvernail: Yes, it is decent sized for us. And that's been a good investment for us and continues to grow.
Mark Douglass - Longbow Research LLC: But it's not going to do kill you, either, if you happen to see some real volatility like it looks like we're seeing?
Andrew K. Silvernail: No, it's big enough to matter and, obviously, when it was very, very strong, it does help move the needle. But when it's been weaker, like even when it was last year, typically we can absorb that in other parts of our business.
Mark Douglass - Longbow Research LLC: Right. And then you mentioned you had some share gains in Scientific Fluidics.
Andrew K. Silvernail: Yes.
Mark Douglass - Longbow Research LLC: What appears to be a much better funding environment in life science, do you think this provides some upside to what seems to be implied kind of low-single-digit organic growth in that segment? And I would throw IOP in there as well.
Andrew K. Silvernail: Yes, yes, so I think we're kind of guiding, again, think of kind of 3% to 5% generally for the segment if you look in that segment. Scientific Fluidics specifically, I'd mentioned that the team there did a really nice job in 2013. And the gain in this business is really -- there really kind of 2 big parts of the gain. One of them is geographic expansion, that the growth in that business around Asia has been a big, big piece of the overall story. And then the second part, and this has been for a long time, it's about winning high-value content on new product launches. And 2011, 2012 -- about 2012 to 2013 at least through the first half, the product launches in the industry were actually pretty soft. And we are starting to see an improved cycle. And I think you're going to see a better overall cycle as you look forward over the next couple of years that can add 1 point or 2 to growth. Regarding the funding specifically, just as the funding wasn't that -- wasn't a huge deal when it was struggling, it was there, just remember that it's not a huge piece of our business that goes directly to government agencies. The bigger thing that really happens here is it gives confidence to the industry. And you see -- it kind of -- it gives confidence, you see kind of improvements around this. So I do think that both of those things are tailwinds to that business. But also, it's a competitive business and it's a business that is changing in terms of its geographic footprint. So -- but we're positive about it, we think we've got a great team, and we think we're going to continue to grow that.
Mark Douglass - Longbow Research LLC: It sounds like you're started to outgrow the market given...
Andrew K. Silvernail: Yes, I think in aggregate, we will outgrow the market. I think we've demonstrated that. But also, realize that the market is broken down into a few things. You've got the 2 biggest pieces of what we call the market are diagnostics and for us, high pressure liquid chromatography. Those 2 pieces of business are relatively slow growing, right? The growth is really happening in the industries around biotechnology, around sequencing and around mass spec, and we're well positioned in that. But there is a shift that's happening in that marketplace.
Operator: Your next question is from Paul Knight with Janney Capital.
Bryan Kipp - Janney Montgomery Scott LLC, Research Division: This is actually Bryan Kipp. Just wanted to dive into HST a little bit further. That 10% order growth that you guys reported in the quarter, do you think that can be attributed to the, let's say, budget flush post-NIH color and pharma, and everybody else ordering on the mass spec side and the HPLC side, and then inventory build again? Or you think it's more sustainable?
Andrew K. Silvernail: It's actually -- the benefits of the expectations of improved spending from a government, that hasn't really shown up yet. That was really cut in the latest budget deal that you'll see kind of flow through. So you might have a little bit in there. We had really strong order growth in our Material Process business. That was really strong, off a pretty we comp last year. Our Scientific Fluidics business did well. And again, when you look at our -- we saw our optics business turn positive. So pretty nice business there generally. Also, we had a couple of big wins in what is the more industrial side of HST. So what I'm driving here, Bryan, is that this isn't -- that big number isn't being driven because there's some kind of massive pickup across the industry. We can put our finger on where it is and so we're happy for it but we don't expect 10% order growth going forward.
Bryan Kipp - Janney Montgomery Scott LLC, Research Division: Appreciate the color. Do you expect some additional margin leverage just because of that strong number in the first half relative to what you saw last year on the HST side?
Andrew K. Silvernail: I think it'll be generally kind of normalized. I don't see it as being significantly different than what it's been. When you actually look at the margin structure -- the contribution margin structure across the business, it's not materially different segment to segment. I mean, it's within a few points of each other, which is obviously good from a mix perspective. But I don't see it being a big deal.
Bryan Kipp - Janney Montgomery Scott LLC, Research Division: Okay. And I guess just one final. You alluded to India and I know you guys are trying to double capacity out there. What's driving that strength? Is it infrastructure investments on the FMT side or is it more broader based?
Heath A. Mitts: It is principally around 2 things: it's around our Energy business, which has had terrific success there also; and we also decided to put our manufacturing for Asia for our Dispensing business, sits in there. So the X-SMART that we launched last year, which, by the way, has been nicely successful. The team deserves an awful lot of credit. They came up with a -- what I really think is a game changer in the emerging markets for that business, and they're manufacturing it out of there. Those are the 2 biggest pieces of the Indian footprint. We do some smaller things also there, but those are the 2 big pieces.
Operator: Your next question is from Mike Halloran with Robert Baird.
Michael Halloran - Robert W. Baird & Co. Incorporated, Research Division: Just one quick follow-up here. Just want to make sure I understand the sequentials on the Fire & Safety side of the business here. So as I understand the fourth quarter here, you had some push out on the Dispensing orders and in an answer to an earlier question, you talked about front half of the year loading in some of those Dispensing orders that you guys have talked about in the past. So should we see a stair step on the margin line, front half versus back half of the year? Or at this point, are there some of those Dispensing orders are still stretched in the back half and maybe normalize things out a little bit as we work through the year?
Heath A. Mitts: Mike, this is Heath. There's a little bit of seasonality. Obviously, we're going to benefit from the Dispensing, the large order that we talked about in our last call that will ship in the first half of the year and obviously, there's some nice leverage from that. There's also elements of the segment that tend to do better in the fourth quarter, specifically the Rescue tool business tends to be a little bit more fourth quarter heavy. And as you know, that is a highly profitable piece of the segment. So I wouldn't read into it too much. We'll get a better sense as we get through the first quarter and, obviously, update you guys in 90 days or less as to how much of that Dispensing order shipped in the first quarter and how much is remaining, and what impact that would have as we get through the end of the year. We're kind of sorting through that with our customer right now. So we'll have more guidance then in terms of what that impact was in the first quarter and how you should think about the rest of the year.
Operator: Your next question is from Walter Lukay (sic) [Liptak] with Global Hunter.
Walter S. Liptak - Global Hunter Securities, LLC, Research Division: Walter Liptak. Sorry, I wasn't able to listen to the whole call, but I've got one on guidance where -- and you may have addressed this already. But with organics expected to go up in 2014, why wouldn't we see the same level of a 15% EPS growth?
Andrew K. Silvernail: Well, generally, you've got a couple of things. We did address that, Walt, as we're walking through the call. A couple of things, right? So we had this year, we had a couple of major benefits where we restructured in 2012 and improved some underperforming businesses that you're just not going to redo again, right? You not -- you don't get that benefit from a growth perspective twice. So if you go back to the slide, you'll see that we walked through in some pretty good detail the bridge of how we get to our guidance. And it's really straightforward, so if you have any more detailed questions, you can certainly give us a call.
Operator: At this time, there are no questions.
Andrew K. Silvernail: Okay, well, thank you, all, very much again for being on the call today, and being -- your interest in IDEX. Obviously, we're proud of how 2013 ended. I'm very, very proud of the team. That is certainly the thing that's most important to us here and our ability to deliver great results for shareholders is the kind of team that we're building and the culture that we're building here. So I want to thank my team for their efforts and I appreciate your support, and we look forward to a solid 2014. So thank you, all.
Operator: This concludes today's conference. You may now disconnect.